Operator: Ladies and gentlemen, thank you for standing by. Good day, and welcome to the WD-40 Company Fourth Quarter and Full Fiscal Year 2025 Earnings Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. At the end of the prepared remarks, we will conduct a question and answer session. Please make sure your mute function is turned off to allow your signal to reach our equipment. If at any time during the conference, you need to reach an operator, I would like to turn the presentation over to our host for today's call, Wendy D. Kelley, Vice President, Stakeholder and Investor Engagement. Please proceed.
Wendy D. Kelley: Thank you. Good afternoon, and thanks to everyone for joining us today. On our call today are WD-40 Company's President, Chief Executive Officer, Steven A. Brass, Vice President and Chief Financial Officer, Sara K. Hyzer. In addition to the financial information presented on today's call, we encourage investors to review our earnings presentation, earnings press release, and Form 10-Ks for the period ending 08/31/2025. These documents will be made available on our Investor Relations website at investor.wd40company.com. A replay and transcript of today's call will also be made available shortly after this call. On today's call, we will discuss certain non-GAAP measures. The descriptions and reconciliations of these non-GAAP measures are available in our SEC filings as well as the earnings documents posted on our Investor Relations website. As a reminder, today's call includes forward-looking statements about our expectations for the company's future performance. Actual results could differ materially. Company's expectations, beliefs, projections are expressed in good faith but there can be no assurance that they will be achieved or accomplished. Please refer to the risk factors detailed in our SEC filings for further discussion. Finally, for anyone listening to a webcast replay, or reviewing a written transcript of this call, please note that all information presented is current only as of today's date, 10/22/2025. The company disclaims any duty or obligation to update any forward-looking information as a result of new information, future events, or otherwise. With that, I'd now like to turn the call over to Steven A. Brass. Thank you, Wendy, and thanks to all of you for joining us this afternoon.
Steven A. Brass: Fiscal year 2025 was marked by complexity and resilience. A tale of navigating global headwinds while making strategic progress. Despite challenges ranging from geopolitical tensions to shifting economic policies, WD-40 Company seized opportunities and continued to build on the strong foundation that has supported our success for more than seventy-two years. Today, I'll start with an overview of our sales results for the fourth quarter and full fiscal year 2025. And then provide an update on the progress we've made against our 4x4 strategic framework. Then Sara will dive deeper into our financial performance, review our business model, give an update on the divestiture of our Home Care and Cleaning businesses, and share our outlook for fiscal year 2026. After that, we'll open the floor for your questions. Today, we reported consolidated net sales of $163 million for the fourth quarter and $620 million for the full fiscal year. Each reflecting approximately 5% growth compared to the prior year. This performance represented a record quarter for the company and underscores the continued strength of our brand and the resilience of our business. As you know, maintenance products remain our primary strategic focus accounting for approximately 95% of total net sales in both the fourth quarter and the full fiscal year. Net sales for these products reached $156 million in Q4 and $591 million for the year. Each reflecting a 6% year-over-year increase. This performance is consistent with our long-term growth target of mid to high single digits and reinforces the strength of our core business. In addition, I'm pleased to report that our gross margin continues to improve and has now surpassed our target of 55%. For the full fiscal year, we delivered a gross margin of 55.1%. Gross margin would have been 55.6% if we remove the financial impact of the assets held for sale. For the fourth quarter, delivered a gross margin of 54.7%, an impressive 730 basis point improvement from 2021 when we hit our inflection point and our long-term gross margin recovery plan began to take hold. Sara will share more details about gross margin in just a few minutes. Now let's talk about fourth quarter sales results in dollars by segment starting with The Americas. Unless otherwise noted, we will discuss net sales on a reported basis compared to the fourth quarter of last fiscal year. Sales in The Americas, which includes The United States, Latin America, and Canada, decreased 2% to $77 million compared to last year. In reported currency, sales of maintenance products decreased 2% or $1.2 million to $74 million compared to last year. The decline was primarily driven by lower sales in Latin America influenced by the impacts of foreign currency exchange fluctuations, the timing of customer orders, and broader macroeconomic challenges especially in Mexico. Sales of maintenance products in The United States and Canada also down slightly primarily due to the timing of customer orders and in Canada, broader macroeconomic challenges. In The Americas, sales of WD-40 Specialist remained constant to the same period last year. Home care and cleaning product sales declined $600,000 compared to last year, reflecting our strategic shift towards higher margin maintenance products in alignment with our 4x4 strategic framework. In total, our Americas segment made up 47% of our global business in the fourth quarter. For the full fiscal year, maintenance product sales in The Americas totaled $277 million reflecting a 4% increase compared to the prior year. Although this growth was slightly below our long-term target of 5-8% annual growth for the region, we remain confident in the TradeBlock's long-term growth potential. Now let's take a look at sales in EMEA, which includes Europe, India, The Middle East, and Africa. Total sales grew 7% or $4.1 million to $63 million compared to last year. After adjusting for the impact of foreign currency translation, EMEA net sales were unchanged in the same quarter last year. In reported currency, sales of maintenance products increased 8% or $4.6 million to $60.7 million compared to last year. The strong growth is driven most significantly by higher sales volumes of WD-40 Multi-Use Product in our direct markets. Sales increased most significantly in DACH, France, and Benelux which were up 20%, 19%, and 23% respectively. Strong sales in our direct markets were offset by softer performance in our EMEA distributor markets driven by the timing of customer orders and ongoing instability in certain regions. In EMEA, sales of WD-40 Specialist increased 18% compared to last year driven primarily by increased demand and higher volumes across several direct markets especially in DACH and France where targeted promotional activity with key customers proved highly effective. Home care and cleaning product sales declined approximately $500,000 compared to the same period last year. In the fourth quarter, we completed the divestiture of our U.K. Home Care and Cleaning product businesses to Supreme Imports Limited. This strategic move allows us to sharpen our focus on higher growth, higher margin maintenance products and reinforces our commitment to growing the blue and yellow brand with a little red top. In total, our EMEA segment made up 38% of our business in the fourth quarter. For the full fiscal year, maintenance product sales in EMEA totaled $230 million, a 9% increase compared to the prior year. This growth aligns with our long-term target of 8% to 11% annual growth. Now turning to Asia Pacific. Sales in Asia Pacific, which includes Australia, China, and other countries in the Asia region, grew 28% or $5.1 million to $23 million compared to last year. Foreign currency translation had no material impact on our fourth quarter results. Sales and maintenance products increased 30% or $4.8 million to $21 million compared to last year. This growth was primarily driven by a 44% increase in sales of the WD-40 Multi-Use Products in our Asia distributor markets where we saw strong demand across nearly all countries, particularly in Indonesia, Malaysia, Singapore, and The Philippines. Fueled by geographic expansion, broader distribution, and the timing of customer orders. Sales and maintenance products also grew in Australia and China, increasing by 12% and 6%, respectively, compared to the same period last year. In Asia Pacific, sales of WD-40 Specialist increased 38% compared to last year, due to higher sales volume from successful promotions and marketing efforts in our Asia distributor markets and China. Sales of home care and cleaning products, including No Vac Carpet Cleaners and Solvol Hand Cleaners sold in Australia, increased 15% or approximately $300,000 compared to the same period last year. Our Home Care portfolio in Australia benefits from strong brand recognition, a solid competitive position, and meaningful growth opportunities. In total, our Asia Pacific segment made up 15% of our global business in the fourth quarter. For the full fiscal year, maintenance product sales in Asia Pacific totaled $84 million, a 6% increase compared to the prior year. While this growth falls short of our long-term target of 10% to 13% annual growth for the region, we remain confident in the strong fundamentals of this high-growth trade block. Now, let's take a look at the strategic progress we made in fiscal year 2025 against our 4x4 strategic framework. As you recall, this framework was designed to drive profitable growth and sustainable value creation. And is built around our four Must Win Battles and four strategic enablers. Must Win Battles focus on what we do to increase sales and profitability and these are long-term growth drivers. We will focus on full-year results. Starting with Must Win Battle number one, the geographic expansion. Global sales of WD-40 Multi-Use Product in fiscal year 2025 were $478 million, representing growth of 6% over the prior year. We experienced solid sales of our signature multi-use product brand in all three trade blocks with 8% growth in EMEA, 4% growth in The Americas, and 6% growth in Asia Pacific. We saw solid sales growth this year, 12% in Latin America, 10% in China, 14% in France, and 20% in India. But what's most important to emphasize is that we still have significant room to grow. Geographic expansion is our most significant long-term growth opportunity. Over the last five years, we've achieved an annual growth rate for net sales of WD-40 Multi-Use Product of 9.4%. Our path forward is clear. We're expanding availability across more channels and geographies while deepening product penetration by increasing brand awareness through sampling and putting more cans in the hands of end users around the world. We estimate the global attainable market for the WD-40 Multi-Use Product to be approximately $1.9 billion based on our updated benchmark sales potential. And to date, we've achieved only 25% of our benchmark growth potential, leaving a growth opportunity of approximately $1.4 billion. Our second Must Win Battle is accelerating premiumization. Innovation is at the core of this strategy. We developed products like Smart Straw and Easy Reach with our end users at the center of every decision. Their needs drive our product development efforts, enabling us to deliver high-performance solutions that solve real-world problems. End-user focused innovation fosters brand loyalty and contributes to gross margin expansion and differentiated offerings. In fiscal year 2025, global sales of Smart Straw and Easy Reach when combined were up 7% over the prior year. Premiumized products currently account for approximately 50% of WD-40 Multi-Use Product sales and 40% of units sold, leaving considerable room for continued growth. Over the last five years, we've achieved a compound annual growth rate for net sales of premiumized products of 9.4%. On a go-forward basis, we'll be targeting a compound annual growth rate for net sales of premium format products of greater than 10%. Our third Must Win Battle is to drive growth in WD-40 Specialist. This product line is a strategic extension of our trusted core brand. Designed to meet the evolving needs of professionals and industrial users. When we introduced the WD-40 Specialist alongside the WD-40 Multi-Use Product, we're not just adding variety, we're strengthening our brand, capturing new segments, and offering end users more choice without diluting what makes our core brand iconic. By leveraging the strength of the WD-40 brand, we're driving category leadership and expanding market share in adjacent segments. In fiscal year 2025, global sales of the WD-40 Specialist products were $82 million, up 11% over the prior year. Once again, we saw growth of WD-40 Specialist products across all three trade blocks with growth of 6% in The Americas, 15% in EMEA, and 12% in Asia Pacific. Over the last five years, we've achieved a compound annual growth rate for net sales of the WD-40 Specialist of 14.4%. On a go-forward basis, we'll be targeting a compound annual growth rate for net sales of WD-40 Specialist of greater than 10%. As the WD-40 Specialist has matured and its market base has expanded, we've recalibrated our long-term growth expectations to reflect the product line's evolution within its life cycle. We estimate the global attainable market for WD-40 Specialist to be approximately $665 million based on our updated benchmark sales potential. And today, we've achieved only 12% of our benchmark growth potential, leaving a growth opportunity of approximately $583 million. Our fourth and final Must Win Battle is to accelerate digital commerce. Our digital commerce strategy is a catalyst for growth across the business. Not merely a channel for online sales, it plays a vital role in advancing each of our Must Win Battles by increasing brand visibility, improving accessibility, and driving deeper engagement with end users across global markets. In fiscal year 2025, e-commerce sales increased 10%, reflecting strong momentum in our digital strategy. But digital is more than a transactional platform, it's a powerful engine for brand building and education. For example, the digital space serves as a dynamic environment for product discovery. It allows us to showcase new applications for our products while fostering peer-to-peer learning. Many of these insights originate from our end users themselves, who continually uncover innovative ways to use our products, often in ways we hadn't imagined. By leveraging digital touchpoints, we're deepening engagement, enhancing product understanding, and strengthening brand affinity across the globe. Turning to the second element of our 4x4 strategic framework, our strategic enablers. Our strategic enablers focus on operational excellence and they collectively underpin and drive the success of our Must Win Battles. Strategic Enabler number one is ensuring a people-first mindset. At WD-40 Company, our most powerful competitive advantage is the commitment of our 714 employees. We've long said we're a purpose-driven, values-guided organization, and that's not just a tagline. Our values are the foundation of our culture. They shape how we lead, how we collaborate, and how we make decisions every day. In our February 2025 Global Engagement Survey, 94% of our people reported being engaged in their work, more than four times Gallup's global average of 21%. 90% said they feel a strong sense of belonging and 95% expressed pride in our purpose, mission, and values. This deep connection to who we are and what we stand for translates directly into growth and opportunity. Nearly 40% of our people experience career progression within their first five years at the company. To our employees, thank you for consistently showing what it means to live our purpose. To create positive, lasting memories in everything you do. What our investors and stakeholders see in our performance is a direct reflection of your commitment to doing meaningful work the right way. Strategic Enabler number two is to build an enduring business for the future. At WD-40 Company, long-term value creation means operating with a clear commitment to balancing economic growth, environmental responsibility, and social impact. One of our primary objectives under this strategic enabler is to lead our category with high-performing products designed for environmental sustainability. I'm excited to share that in the upcoming fiscal year, we'll introduce a new innovation under the WD-40 Specialist product line, which will be our first bio-based format of our multi-use product. Our latest maintenance product is designed to reduce our environmental impact and to have a reduced carbon footprint, utilizing ISO standard 14,067 while still delivering the trusted performance expected from the WD-40 brand products. The product will launch in select European markets later this fiscal year, and we look forward to sharing updates with you in the quarters ahead. Strategic Enabler number three is achieving operational excellence in our supply chain. Profitable growth at WD-40 Company depends on a supply chain that is optimized, high-performing, and resilient. In fiscal year 2025, this strategic enabler played a vital role in protecting gross margins. We delivered several million dollars in economic value through cost reduction initiatives such as packaging enhancements, logistics efficiencies, and strategic sourcing. These efforts helped to offset the financial impact of tariffs, underscoring the importance of this enabler. Operationally, in fiscal year 2025, we achieved global on-time delivery of 96.4%, above our current target, and also inventory levels of ninety-nine days on hand, coming closer to our target of ninety days. Strategic Enabler number four is to drive productivity through enhanced systems. At WD-40 Company, technology is a key enabler of productivity and resilience. We're building a scalable digital infrastructure designed to support global growth and enhance operational agility, accelerating our strategic execution. By partnering with leading technology companies, we're investing in proven AI-enabled systems such as D365 and Salesforce that we believe will drive future gains in productivity. While we are taking a pragmatic approach to adopting AI across our organization, we've already identified several promising use cases that will help us to boost employee productivity, build our brand more effectively around the world, and accelerate learning and improve collaboration within our global community. With that, I'll now turn the call over to Sara.
Sara K. Hyzer: Thanks, Steve, for that overview of our sales results and strategic framework. I'm pleased to share that we delivered a strong fourth quarter performance, culminating in an excellent bottom-line finish to fiscal year 2025. Today, I'll walk through how we performed against our fiscal year 2025 guidance, share insights into our business model, and highlight key takeaways from our fourth quarter financial results. I'll also provide an update on the divestiture of our home care and cleaning business in The UK and close with our outlook for fiscal year 2026. Let's start with a discussion about how we performed against our fiscal year 2025 guidance. As a reminder, we issued our guidance in fiscal year 2025 on a pro forma basis. I encourage investors to review our earnings presentation, which includes a pro forma view. Since we issued our fiscal year 2025 guidance on a pro forma basis, I will provide the following summary on a non-GAAP pro forma basis. We expect net sales growth adjusted for currency to be between 6-9%, with net sales of between $620 and $630 million over our pro forma 2024 results. Today, we reported pro forma net sales adjusted for currency of $603 million, a 6% increase over the 2024 pro forma results. If we include the assets held for sale, consolidated net sales adjusted for currency were $622 million in fiscal year 2025. We expected full-year gross margin to be in the range of 55% to 56%. Today, we reported a gross margin of 55.6%, in line with our expectations. We expected our advertising and promotion investment to be around 6% of net sales. Today, we reported an A&P investment of 6%. We expected operating income to be between $96 and $101 million. Today, we reported operating income of $98.1 million, in line with our expectations. We expected diluted EPS of between $5.30 and $5.60. Today, we reported diluted EPS of $5.50, in line with our expectations. I'm pleased with the resilience and performance of our business in what has been a volatile and uncertain environment. Throughout fiscal year 2025, we navigated a range of challenges, from tariffs and macroeconomic instability to geopolitical tensions and a shifting policy landscape. Despite these headwinds, we grew our top line, expanded margins, and delivered solid bottom-line growth. Thank you to all our employees for their focus, adaptability, and commitment to delivering meaningful results for our stakeholders. Let's start with a look at our business model. Our business model is a strategic tool we use to guide our business. The model is built around three core areas: gross margin, cost of doing business, and adjusted EBITDA. Let's look at our fourth quarter gross margin performance. In the fourth quarter, our gross margin was 54.7% compared to 54.1% last year, which represents an improvement of 60 basis points and was most significantly impacted by the following favorable factors: 110 basis points from lower specialty chemical costs, 110 basis points from higher average selling prices, including the impact of premiumization, and 60 basis points from lower input costs. Offsetting those benefits to gross margin were a few unfavorable factors: 140 basis points from unfavorable sales mix and other miscellaneous mix impacts, and 60 basis points from higher warehousing, distribution, and freight costs, primarily in The Americas. I'm happy to share that gross margin performance this quarter was strong across all three trade blocks, with results either exceeding our stated target or showing year-over-year improvement. In The Americas, gross margin increased by 70 basis points compared to the prior year fourth quarter, reaching 53.2%. EMEA held steady at 55.5%, remaining above our target. And in Asia Pacific, gross margin increased by 110 basis points compared to the prior year fourth quarter, reaching 57.5%. For the full fiscal year, gross margin was 55.1%, compared to 53.4% last year, which represents an improvement of 170 basis points. As Steve mentioned earlier, we're very encouraged by the consistent improvement to gross margin we've seen over the past three years. Today, we're proud to report full fiscal year gross margin over the high end of our targeted range of 50% to 55%, recovering our gross margin a year ahead of schedule and marking a significant milestone in our recovery journey. It's important for stakeholders to understand that while certain risks, such as cost volatility, tariff uncertainty, and inflationary pressures, will always be part of the operating environment, we're actively pursuing a range of initiatives designed to help us mitigate those risks and strengthen gross margin over time. These include supply chain cost reduction projects, cost optimization efforts, progress on asset divestitures, new product introductions, premiumization strategies, and geographic expansion. Each of these levers contributes positively to gross margin and reinforces our confidence in its long-term potential. Supported by our current performance and strategic initiatives, we're confident in our ability to sustain gross margin above 55% in fiscal year 2026. In addition, gross margin enhancement remains a key priority for senior leaders who continue to be incentivized to drive further improvement. Now turning to our cost of doing business, which we define as total operating expenses plus adjustments for certain non-cash expenses. Our cost of doing business is primarily driven by three key areas: strategic investments in our people, global brand-building efforts, and freight expenses associated with delivering products to our customers. In the fourth quarter, our cost of doing business was 36% compared to 38% in the prior year quarter. In dollar terms, our cost of doing business remained relatively stable period over period. For the full fiscal year, the cost of doing business was 37% compared to 36% last year. In dollar terms, our cost of doing business increased $19 million or 9% period over period. In the fourth quarter, advertising and promotion expenses increased $1.6 million or 15% period over period. As a percentage of net sales, A&P investment was 7.6% this quarter compared to 7% in the same period last year. The phasing of our A&P investments is not evenly distributed over the course of the year. And in recent years, our brand-building activities have been more heavily weighted in the second half of the year. For the full fiscal year, our A&P investment remains within our annual expectations. While our long-term goal is to manage the cost of doing business within the 30% to 35% range, we continue to make thoughtful strategic investments to support long-term growth. WD-40 Company has long been committed to operating with discipline and efficiency, a commitment reflected in our ability to manage the business with just 714 employees, each generating approximately $860,000 in revenue. This level of productivity speaks volumes about the strength of our culture, the effectiveness of our operating model, the awareness of our brand, and the value we deliver across our global footprint. What continues to evolve is our need to operate as a global business in an increasingly complex and uncertain environment. To reduce risk and drive top-line growth, we've implemented a number of structural changes in recent years to strengthen and sustain our business for the future. We're investing with discipline across technology, sustainability, innovation, research and development, legal risk management, and brand building to strengthen our foundation, build brand awareness, and ensure long-term resilience and growth. We also need time to absorb the loss of revenues associated with the home care and cleaning divestitures. These investments have pushed our cost of doing business above our target range. However, we believe they've strengthened the business, enhanced its resilience, and positioned us to deliver sustainable long-term value to our stakeholders. Turning now to adjusted EBITDA margin. We believe adjusted EBITDA as a percentage of sales is a valuable metric for assessing both profitability and operational efficiency. It reflects our operating performance and cash-generating ability, providing the clearest view of our company's underlying financial health. Our 25% target for adjusted EBITDA margin is a long-term aspiration. However, we continue to believe we can move adjusted EBITDA margin back to our mid-term target range of 20% to 22% once we have absorbed the loss of revenues associated with the home care and cleaning divestitures. In the fourth quarter, our adjusted EBITDA was $30.5 million, up 16% from the same period last year. Our adjusted EBITDA margin this quarter was 18% compared to 17% in the same period last year. For the full fiscal year, our adjusted EBITDA was $114.4 million, up 8% from the same period last year. Adjusted EBITDA margin this year was 18%, which is the same as last year. Now let's turn to other key measures of our financial performance: operating income, net income, and earnings per share in the fourth quarter. Operating income improved to $28 million in the fourth quarter, an increase of 17% over the prior period. Net income improved to $21.2 million in the fourth quarter, an increase of 27% compared to the prior period. Diluted earnings per common share for the quarter were $1.56 compared to $1.23 in the prior period, reflecting an increase of 27% over the prior period. Our diluted EPS reflects 13.6 million weighted average shares outstanding. Now let's review our balance sheet and capital allocation strategy. We maintain a strong financial position and healthy liquidity, enabling a disciplined capital allocation approach that both fuels long-term growth and generates significant value for our stockholders. Maintaining a disciplined and balanced capital allocation approach remains a priority for us. For the foreseeable future, we expect CapEx of between 1-2% of sales per fiscal year. Our cash flow from operations this quarter was $30 million, and we elected to use approximately $9.5 million of that cash to pay down a portion of our short-term higher interest rate borrowing. Although our usual target for debt to adjusted EBITDA is one to two times, we are currently slightly below that range. This provides us with strategic flexibility as we explore opportunities to return capital to stockholders and drive long-term growth. We continue to return capital to our stockholders through regular dividends and buybacks. Annual dividends will continue to be our priority and are targeted at greater than 50% of earnings. On October 9, the Board of Directors approved a quarterly cash dividend of $0.94 per share. During fiscal year 2025, we repurchased approximately 50,000 shares of stock at a total cost of $12.3 million under our share repurchase plan. We have approximately $30 million remaining under our current repurchase plan, which is set to expire at the end of this fiscal year. Looking ahead, we intend to accelerate our buyback activity and fully utilize the remaining authorization, underscoring our strong conviction in the long-term fundamentals of the business. We're focused on accretive capital returns that reflect our confidence in the long-term value of our stock. In fiscal year 2025, excluding the positive impact of the one-time non-cash income tax adjustment, our return on invested capital was 26.9%, improving from 25.5% last fiscal year and ahead of our target of 25%.
Steven A. Brass: In September, we announced the sale of our 1001 and 1001 Carpet Fresh brands in The UK to Supreme Imports Limited, a Manchester-based consumer products company. The all-cash transaction valued at up to $7.5 million was completed in 2025. WD-40 Company is providing limited transition services for up to three months. This divestiture reflects our continued focus on optimizing our portfolio and directing resources toward areas that drive long-term value. We continue to make progress on the sale of our America's home care and cleaning product brands. Our investment base continues active discussions with multiple potential buyers. Although there's no certainty of the deal, we remain optimistic, and I will provide further updates as appropriate. Now moving to FY '26 guidance. Given the anticipated divestiture of our America's Home Care and Cleaning brands, we are continuing to present this year's guidance on a pro forma basis excluding the financial impact of the assets held for sale. We're also providing a pro forma view of fiscal year 2025 excluding the brands we divested in The UK in the fourth quarter, the brands currently held for sale, and the impact of the one-time tax benefit recorded in the second quarter, to help with modeling and period-over-period comparison. Please refer to our fourth quarter and full-year earnings presentation on our Investor Relations website for those details. Now with that backdrop, let's take a closer look at our guidance for fiscal year 2026. We're excited about what lies ahead in fiscal year 2026. By balancing strong performance today with thoughtful investments for tomorrow, we're building a foundation for lasting growth and long-term value creation. For fiscal year 2026, we expect net sales growth from the pro forma 2025 results is projected to be between 5-9% with net sales between $630 and $655 million after adjusting for foreign currency impact. Gross margin is expected to be between 55.5-56.5%. Advertising and promotion investment is projected to be around 6% of net sales. Operating income is expected to be between $103 and $110 million, representing growth of between 5-12% from the pro forma 2025 results. The provision for income tax is expected to be between 22.5-23.5%. And diluted earnings per share is expected to be between $5.75 and $6.15, which is based on an estimated 13.4 million weighted average shares outstanding. This range represents growth of between 5-12% over the pro forma 2025 results. This guidance assumes no major changes to the current economic environment. Unanticipated inflationary headwinds and other unforeseen events may affect our view of fiscal year 2026. In the event we are unsuccessful in the divestiture of The Americas Home Care and Cleaning brands, our guidance would be positively impacted by approximately $12.5 million in net sales, $3.6 million in operating income, and $0.20 in diluted EPS on a full-year basis. That completes the financial overview.
Sara K. Hyzer: Now I would like to turn the call back to Steven A. Brass. Thank you, Sara, for that update.
Steven A. Brass: As we close another fiscal year at WD-40 Company, I'm reminded how fortunate we are to lead such a remarkable business. We have a world-class brand with a sustainable competitive advantage, a highly diversified global footprint, and a long runway for growth. Our capital-light efficient business model generates significant cash, providing a strong financial foundation that allows us to invest in growing our brands and accelerate the development of our future leaders while continuing to prioritize returning capital to our investors. And if that's not enough, what did you hear from us on this call? You heard that we reported currency-adjusted pro forma net sales of $603 million, a 6% increase over FY 2024 results and right in line with our expectations. You heard that sales of our maintenance products were up 6% in both the fourth quarter and fiscal year and that this performance aligns with our long-term growth target. You heard that we estimate the benchmark sales opportunity for WD-40 Multi-Use Product to be approximately $1.9 billion and that we have achieved only 25% of that benchmark opportunity. You heard that we estimate the benchmark sales opportunity for WD-40 Specialist to be approximately $665 million and that we've achieved only 12% of that benchmark opportunity. You heard that we sold our UK home care and cleaning product brands. You heard that the full fiscal year delivered a gross margin of 55.1% or 55.6% if we remove the financial impact of the assets held for sale. You heard that for the fourth quarter, delivered a gross margin of 54.7%, an impressive 730 basis point improvement from 2021. You heard that supported by current performance and our strategic initiatives, we believe we're well-positioned to target a gross margin of above 55% in FY 2026. You heard that by looking ahead to fiscal year 2026, we intend to accelerate our buyback activity and fully utilize the remaining authorization, underscoring our strong conviction in the long-term fundamentals of the business. And you heard that we're issuing guidance for fiscal year 2026 on a pro forma basis excluding the brands we expect to divest this year. Thank you for joining our call today. We'd now be pleased to answer your questions.
Operator: Ladies and gentlemen, please make sure your mute function is turned off to allow your signal to reach our equipment. If your question has been answered and you would like to withdraw your registration, please press the pound key then the number one on your telephone keypad. Your first question comes from the line of Daniel Rizzo from Jefferies. Hey, guys. Thanks for taking my question.
Daniel Rizzo: I just need a clarification. So when you guys gave your initial guidance last year, that excluded the home care sales. Same thing as this year. But when you reported throughout the year, you reported including the home care sales. Is that correct?
Sara K. Hyzer: Hi, Daniel. Yes. So in the press release and in the 10-Q, you'll see those include them, obviously, because those are reported on a GAAP basis or U.S. GAAP basis. In the investor deck on every quarter, we showed a pro forma view so that you could back out those sales, although you can easily see those sales in our footnotes because we do break out the HCCP sales in both The Americas and EMEA regions. But the pro forma view went a step further to take you all the way down in the P&L, you could actually see the impact down to EPS.
Daniel Rizzo: Okay. So I'm looking at now. So the pro forma is $5.50 in EPS in 2025. Right?
Sara K. Hyzer: That's correct.
Daniel Rizzo: Alright. Sorry. I just wanted clarification on that. Thanks. Thank you for that. So then with you mentioned that I said kind of a mixed headwind. I was wondering if you could provide color on that. I mean, I've assumed the premiumization is kind of a mixed tailwind, but I was wondering what's kind of countering that that you pointed out in the gross margin.
Sara K. Hyzer: Oh, on the gross margin from a tailwind for the year?
Daniel Rizzo: Well, you said there was a mixed headwind there and all the things. I was wondering what that what that what you're referring to.
Sara K. Hyzer: Oh, I think the mixed what I, so maybe it clear. The mix is a sales mix and other miscellaneous sales or other miscellaneous mix impact. So yes, so the premiumization, if you look at it for the full year, it's more for the quarter, the impact for the quarter, the sales mix, and other miscellaneous mix impacts had a headwind of about 140 basis points.
Daniel Rizzo: I'm sorry. Was just looking what what exactly that is. Is that, like, is that I mean, just going distributor versus direct or or how?
Sara K. Hyzer: It's a mix. So, yes, it's a mix of both, how the market play out, so direct and distributors, but then there is also a mix of product. So premiumization, into that, but also bulk and specialist and MUPs. It's just a general product sales mix in addition to the market mix.
Daniel Rizzo: Okay. And then my final question, you know, with premiumization, that's doing fairly well with the multi-use product. I wonder if premiumization like an easy reach straw or or something like that would be applied to, like, the specialist product line. Is that something that's being considered? Or are we kind of far from that, or how we should think about it?
Steven A. Brass: Hey, Daniel. It's Steve. And so the specialist the specialist yeah. The whole specialist line, you know, sells at a higher gross margin as well. So effectively, that is a premium. Every kind of the WD-40 Specialist we sell is margin accretive. And so that is a separate form of premiumization. Having said that, we already in several countries around the world, we've also launched particularly Easy Reach delivery system on things like our penetrant product, which you have in The U.S. and one or two other countries around the world. And so and certainly, Smart Straw, we leverage as part of our specialist premiumization strategy. So yes, it applies to both the core product and to specialists as well, Dan.
Daniel Rizzo: Alright. Thank you very much.
Operator: Your next question comes from the line of Keegan Cox from D.A. Davidson. Your line is open. Hi, guys. Keegan on for Michael Allen Baker today.
Keegan Cox: I just wanted to ask if you could, you know, give any color or thoughts on potential gross margin headwinds and tailwinds that you're expecting within your 2026 guidance?
Sara K. Hyzer: Hi, Keegan. This is Sara. So yes, I would say in our guidance, we have, you know, we have built in both headwinds and tailwinds. We are seeing stability from a cost input standpoint. And when you look at what we've built into our gross margin guidance, if oil stays at the levels that they're at right now, that could be a small tailwind for us since we've tried to be a little bit conservative in what we've built in for an oil assumption because you just never really know which direction that is going to go. There are a number of cost-saving initiatives that we have in the pipeline based on actions that we've taken in FY 2025. That will feed into FY 2026 along with new actions that we've built around cost supply chain optimization and continuation of the efforts that we've had in FY 2025 on the sourcing side. We had a lot of success this year from a global sourcing standpoint and our cost savings expectations that we had this year. Some of those will then benefit our margin going into FY 2026.
Keegan Cox: Got it. And then as I looked at kind of the sales results in Asia Pacific specifically, say that five times, it looks like the distributors accounted for, you know, most of the growth there. What what did kind of the runway left for, I guess, the that distributor market?
Steven A. Brass: Sure. It's a very, very long runway. And so China also had a good well, all three areas were up, right? So Australia, I believe, was up 6% for the year. China was up in double digits. And then yes, for the fourth quarter in particular, we had a very strong comeback in distributor. And so as we look at all of those markets, there's a very, very long runway for growth. In places like Indonesia, where we've introduced our new kind of hybrid business model, it's been growing at a CAGR of around 20% over the past few years. Many of those other key markets across the Asia region have a very, very long runway for growth. And so the improved performance in the back half in Asia and there may be some kind of impact in terms of customer distributors are a little more lumpy, right? And so going into the first quarter, you may see some kind of pullback. That's just really, again, kind of inventory management in Asia for Q1. But beyond that, we see a really strong rebound in Asia Pacific later in the fiscal year.
Keegan Cox: Got it. Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. We thank you for your participation on today's conference call. We ask that you please disconnect your line.